Operator: Good day. And welcome to the Q2 2015 Fortum Corporation Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Timo Karttinen, Interim President and CEO. Please go ahead, sir.
Timo Karttinen: Thank you and good day or good afternoon everybody and welcome to this Fortum Q2 2015 results call. I hope that you have our material available. We'll be referring to those pages as I go. First on to Page 3, just a reminder that starting from previous results release, we have classified [DCP] [ph] as discontinued operations and that is of course as it is in this report as well. Then turning to Page 4 and looking at our quarterly results. Our Q2 results were really characterized by two major things. First, low electricity prices here in the Nordic area stemming from the hard rain and snowfall and a lot of hydro in the system and then on the other hand the status gain from the [DCP] [ph] and Sweden activities. Looking at our numbers, key numbers here, sales from continuing operations down €92 million. There we can see the impact both of the Nordic prices and then also the ruble, euro exchange rate impact compared to last year. Comparable EBITDA from continuing operations also down €74 million. Our comparable operating profit for the continuing operations €143 million down €67 million quarter-on-quarter. Fortum total was €175 as we saw during this quarter two months at the distribution suite and operations. Then looking at the profit before taxes for discontinued operations €4.3 million and that's obviously the sales gains from the distribution suite and that has been resulting for Fortum total profit before taxes €4.45 billion. Earnings per share for continuing operations €0.13 versus €0.22 last year same quarter. Last year we had €0.03 affecting comparability. So taking away that, the comparison number would be €0.19 compared to €0.13 this year. Last one month is €1.11 for the continuing operations. For the discontinued operations €4.85 per share including of course then the sales gain for the distribution suite and that means what is totaling to €4.98. Then turning Page to 5, summary of the second quarter main results, Fortum's results continue to be pressed by low electricity prices and it was really characterized by among the high specific days in both rainfall and snowfall also resulting in high hydro production, high volume sold of hydro in the system, we had last run most likely also some of our competitors, many of our competitors it had most run power production during the quarter. As we completed the Swedish distribution divestment, so that means that the whole distribution segment is now out of our balance sheet and we're getting our electricity distribution activities. Then regarding Russia and TGC-1, as we go last year in December, we have been negotiating about the restructuring of TGC-1. Those negotiations we have now come to conclusions with our negotiation partners and therefore also it was a package deal for us, TGC-1 restructuring and the hydro majority ownership and then on the other hand participation that is finished at one of our power plants. So as we have not been able to at least for now have an agreement part of TGC-1 so we have also not participated in [award] [ph]. As we told in our release, a couple of weeks earlier of course if our negotiations still would proceed, then of course we would at a later stage would also be willing to participate also in the Fennovoima with those conditions that we have stated earlier. Turning to Page 6, market conditions power consumption in the Nordic area was at the same level than the year ago. As already said, the precipitation was among the highest recorded in this century especially Norway and Sweden we have also had quite a lot of rain here in Finland even if that is of lesser impact for the whole Nordic activity market. Then in addition we had a quite slow snow melt during the quarter and that means that large amounts of the precipitation still remained as snow in higher altitudes especially Norway and that is also basically in the rest of one chart that we will be looking at shortly. All this hydro on the system led that their system prices were significantly lower than a year ago on system spot prices level €5 lower and on Finnish and Swedish area prices level that are the most important for us because those are the areas where we have our physical production €9 to €11 per megawatt hour lower than year ago. Then about political decision and illustrating the system the market stability reserve got a go ahead even if the final stance there I think still is missing, but for all practical and different purposes the stability reserve has been decided and that was at start of 2019. Also the commission has now published a proposal to revise the Emissions Trading Directive for the next decade. Regarding Russia, power consumption in our operating area was flat compared to last year. Then on the other hand, the electricity spot prices in the euro comp area, which is the significant price area for us, they declined roughly 10% compared to same quarter last year. Turning to Page 7, there we can see Nordic hydro reserve loss and we can see that this year there is a greater walk up was increasing more slowly that on the average, but it has been actually accelerating due to the couple of past weeks. And most likely there still continues to be quite a lot of snow there especially in Norway in the high altitudes and that would mean that the snow melt and therefore the large amount of hydro in the system will still continue for some time. Page 8 and the wholesale prices in the Nordic area, there we can see the recent drop in Nord Pool Spot System Price with the light blue curve. We can also see that there have been a couple of drops like this also in the history. For the forwards the near term of the curve has reacted also as it quite often done both when the system price goes up and down. But then on the other hand, I think that the longer term of the forward curve is actually slightly higher than it was a quarter ago. Main commodities on Page 9, I think that there we can see the recent drop or downturn in the oil prices from the levels where they increased to during the spring and summer. CO2 prices they have been trading quite steadily there around €7.5 per tonne of CO2. Page 10, the price development in our operative areas and our own achieved power price, Nordic prices first 19% drop in the spot prices, €5 down asset really mainly coming from the abundance of the hydro in the system. Our achieved power prices down 23% or €9 all in all. We also as we got quite a lot of additional hydro on top of what we had focused and planned earlier, of course that additional hydro we also sold with those low spot prices and low area prices in Finland and Sweden. Also as there was a lot of hydro in the system that means that we had quite flat production, quite a lot of must-run production. So there was very little scope for production optimization day-night or week-day, weekend optimization during the period. Then looking on the present prices, the euro comp prices decreased roughly 10% year-over-year. Our achieved power prices in euros including the capacity income decreased by 14% and there we can of course see both the impact of the ruble spot prices going down but then also the impact of the ruble to euro exchange rate compared to last year. Turning to Page 11, comparable operating profit for continuing operations asset was down €6 million to €7 million all in all and that is all explained by the €69 million drop in the power and technology segments, asset €9 drop in our achieved power price. We had one terawatt hour more of volume, but of course even that volume increase was not enough to compensate for the drop in the power price. For the first half of the year as a whole, comparable operating profit for continuing operations down €82 million on Page 12 and there also we can see that actually that is more than explained by the power and technology drop €5.4 lower achieved power prices all in all. During the first half compared to last year we had 0.4 terawatt hours more hydro nuclear production compared to last year. But I said it was really the price impact that we saw this year. Then Heat, Electricity Sales and Solutions, and then also Russian segment, so they were able to improve. And it's good to note here that of course that we had -- we had a mild winter for the first quarter and then I said we had a lot of hydro during the second quarter. So that is really impacting the power results at the optimization possibility have been lower. Turning to Page 14 and looking at the difference between comparable and reported operating profit, during the first -- during the second quarter, the continuing operations the difference was only €1 million net. Inside that net there is €15 million negative effect from the cancellation of Olkiluoto 4 nuclear power project and then there are also some positive IAS 39 derivatives treatment and nuclear fund adjustment so resulting to net €1 million. Then in this discontinued operations there of course we have distribution suite and sales gain number. Page 15 and power and technology, comparable operating profit during the quarter down €69 million, compared to last year. The hydro volumes were all in all 0.5 terawatt hours higher and nuclear volumes 0.4 terawatt hours higher than last year, but I said €9 lower achieved power price on average really resulting from the very low spot prices and low optimization possibilities. Here also the minus €15 million effect of the cancelled Olkiluoto 4 power which is not in the comparable operating profit, but it is of course in the reported operating numbers. For the first half year, €5.4 lower achieved power price, first quarter was exceptionally mild. We really had only some days or week or two of winter and once again then the second quarter has been very raining. During the second quarter also, even Sweden announced their intention to start the closing process of Oskarshamn 1 and 2 in the Oskarshamn OKG Nuclear Power Plant and as we noted in our release, we think differently about that we prefer that the units would continue their normal operation and production and units too would be the modernization would be finalized and that would come back to life. Naturally though this is discussed and then ultimately decided in their in the OKG company. Page 16, Heat, Electricity Sales and Solutions, comparable operating profit was on the same level as in the last year Q2, electricity prices impact here of course as well as we have here electricity production in heat and power plants, but then, but then the slower electricity prices were partly compensated by lower fuel costs as the general level of fuels obviously this year lower than last year. For the first half year, comparable operating profit improved by €9 million, despite the fact that I said the first quarter was very mild and that typically is eating quite a lot of the heat business, but we have had lower fuel costs and then also in some areas higher heat prices during the period. In the retail electricity sales business we've been able to continue the slower and steady pace of increasing our customer base and then also we have been able to keep our sales margins on healthy levels. Turning to Page 17 and Russia, our comparable operating profit improved by €7 million, the improvement was partly then offset by those lower electricity prices as well as some bad debt provisions for the heat trade receivables. The Russian ruble exchange rate affected the euro results this quarter roughly by €3 million compared to the year exchange rate level last year and for the first half this year, the comparable operating profit improving all in all by €30 million mainly due to the positive effect from the new units that we have. On the other hand in euro terms, the Russian ruble depreciation affected the results negatively by €50 million compared to last year's levels and then these results for the first half actually for the first quarter also they include these provision releases of €32 million. In Chelyabinsk we have still those two CHB units under construction the last units in our investment program and they are targeted to be ready during the second half of this year. We have now at the end of the reporting quarter roughly €100 million was of the investment left in these two units. Then Page 18 and the discontinued operations or the distribution so far till June we completed the divestment and asset, after that we don’t spend any more carry any electricity distribution in our balance sheet. And here on Page 18 you can then see the comparison numbers for this distribution segment for this quarter two months and then for the earlier quarter as well. Page 19 income statement, there we can look at the share of profits of associated joint ventures down $15 million from last year, mainly the decrease coming from Värme in Sweden and ownership in Norway. Then our financial expense is improved by $23 million. This is also partly impacted by the compensation that we are and we have been getting from Värme. If you remember Värme is our 50-50 owned joint venture. We have 50 of dotcom in Sweden. We have the finance environment with them, now they have being paying those shareholders loans back and they are taking external financing that is to be completed by the end of this year and as they prepay the existing shareholder loans financing so obviously they also then pay us the exchange rate differential compared to original loans and current market rates and this positive effect is then also visible here in the net financial expenses. All in all then our net profit from continuing operations €118 million and net profit from discontinued operations €4.3 billion and all in all for the total Fortum net profit €4.4 billion during the quarter. Turning to cash flow statement Page 20, cash from operating activities for continuing operations €229 million down €106 million, that is to a large part explained by the change in working capital. You can see that we improved the working capital this quarter, but improved it roughly €100 million less than last year. Then on the other hand if you compare first half of this year and last year, the change in working capital so they are fairly close to each other. So it’s more a quarter-on-quarter timing adjustment there. Paid capital expenditure €107 million here on the line of other investment activities we have the, the money that we have got from Värme, they have been paying, in fact these loans and then of course these total investing activities for discontinued operations includes the proceeds from the distribution, divestment and this all then leads to €6.7 billion cash flow before financing for total Fortum. Turing to Page 21 and key ratios, comparable EBITDA for continuing operations €1.3 billion, 12 months our interest bearing net debt for total Fortum, negative €1.8 billion. So we're carrying a positive cash balance of €1.8 billion. This improved by €6 billion from the start of the year obviously once again due to large extent to the sales proceeds from the Swedish distribution and that then leads us to the comparable net debt to EBITDA minus 1.1 as we have negative net debt and excluding Värme financing, so as they take their shareholder loans financing back towards the end of the year. So it would be 1.3, minus 1.3 and as you remember our target in a normal situation is for this comparable net debt-to-EBITDA ratio to be around 2.5. Return on capital employed 29%. These last 12 months like also the last year figure to a large extent affected by the sales gains from the distribution activities. All in all our liquid funds totaled €8.6 billion at the end of the quarter and then we have this normal committed credit lines of €2.2 million. Page 22, on our debt portfolio average interest rate at the balance sheet date, we have total interest-bearing debt of €6.7 billion. You can see that it's maturing more than €800 million during this year and then also roughly the same amount next year. Also next year's maturing portfolio is mainly during the first half of the year. So roughly €1.6 billion of this portfolio will be maturing during the next 12 months. Average interest rate at the end of the quarter was 4.2%, where it was 3.7% at the year-end. Our extent on debt portfolio is mainly in euros and SEK and there we have the average interest rate of 2.9%. Then we convert from this external euro debt, we convert rubles to finance our Russian activities and at the end of the reporting quarter, we had €786 million worth of these rubles swept and when we then hedged back the ruble to euro exchange rates here for this internal financing. That results the average interest cost including this cost for hedging currently for 14.3% it was for this ruble but it was 11.3% at the year and this then altogether results into this average interest rate of 4.2% in the portfolio and this is more indeed then explained in the Note 15 I think in our interim report. Then turning to outlook Page 24, we continue to expect that there is a slow trend-wise growth in the electricity demand. Then of course this is partly explained also by the fact that electricity is expected to gain share of the total energy consumption as electricity is a good and efficient way of using energy. Of course annual and seasonal changes in the demand then they depend also on the economic cycle and then also on temperatures especially here as we have quite a lot of temperature dependent demand. In Russia we have the target of €18.2 billion run rate for our operating profit in ruble terms. Euro terms of course that is and will be volatile due to the translation effect and the exchange rates. Key drivers and risks, as before general economic situation how the economies are developing in the countries but we operate political decisions, like about emissions trading, about national taxation, currency rates, Swedish krona and Russian ruble most important for us and then those parameters that affect the wholesale price of electricity and volumes for others and for us by power plant availability, hydrology and fuels and others. We continue to estimate that our annual CapEx excluding any acquisitions this year would be roughly €800 million including the maintenance CapEx of €300 million to €350 million. Our hedging levels for the rest of the year or second half of this year approximately 45% hedged at approximately €41 per megawatt hour. Here it is good to note also that obviously as we have gotten a lot of hydro during the quarter, so not only our current production, but then also our forecast for the future production has increased and that increased volume per se means that as haven’t launched a volume, so the average hedge ratio drops a bit even if the hedges would be constant. Then for 2016, on average we have approximately 25% hedged for next year for the average price of €35 per megawatt hour. Regarding taxation, we continue to expect that effective tax -- operating income tax rate for this year between 19% and 21%, and then regarding the Swedish divisions about nuclear then the Swedish parliament is deciding to approve the proposed tax increase of 70% on the in-store nuclear capacity. This increase will be implemented as at the 1 of August this year and on a whole level, the impact for us is roughly €15 million tax detectable. And that concludes the presentation. So now let’s turn to questions and answers.
Operator: Thank you. [Operator Instructions] We can now take our first question from Peter Bisztyga from Bank of America Merrill Lynch. Please go ahead.
Peter Bisztyga: Yeah. Good afternoon. It's Peter Bisztyga here. Three questions please. Firstly, tell us what interest rate you're currently earning on the proceeds that you got from the Swedish grid disposal? Secondly, can you tell us how interest income is going to be impacted once the Pharma refinancing is repaid and then thirdly, given that you’ve only spent €200 million of your CapEx budget in the first half and there is only a €100 million of CapEx left in Russia is it sort of fair to say that you're unlikely to spend the full €800 million of your budget for this year?
Timo Karttinen: Yes, thanks for the questions. First, as we have in the Note 15 in our interim report so there you can see the details, but the average interest income that we are earning on the liquids fund outside Russia is 0.1% currently and then we have roughly €160 million worth of deposits also in Russia for the rest of the investment program there and other needs and that interest is roughly 9% currently. So those are the rates that we are earning. Then I cannot say specifically how much the effect would be coming as Värme will be paying back the rest of their debt. But of course, they have been -- they had more than $1 billion debt to us last year when they start it and now it is roughly $260 million left. So three quarters roughly has already been paid. Then our CapEx program, so we estimate of course then that our CapEx need all in all would be higher during the second half than what it was during the first half and as we have looked at it, we have kept the $800 million also as the estimate. But of course, we follow that and then we look at that whether it needs updating it later.
Peter Bisztyga: Okay. Sorry, just one follow-up. Are there any specific projects that you can highlight that you are planning to start up in the second half?
Timo Karttinen: One thing that of course we have announced is this investment in Poland in the CHP power plant there and that is starting to use some cash. Then of course, we have otherwise also quite a lot of refurbishment than other investment ongoing now during the summer as this is low season for production. So those are examples of where we plan to use. Always of course it’s a question then where for instance some investments for between the years as we have seen, but that we exactly know only as we go a bit more towards the end of the year.
Peter Bisztyga: All right. Many thanks.
Operator: Thank you. We can now take our next question from James Brand from Deutsche Bank. Please go ahead. Your line is open.
James Brand: Hi three questions please. Firstly ask some -- I was wondering whether you could go through a little bit more what the differences are between you and Ion is there estimates on the cost or is there estimates on the revenue side in terms of what do companies expect for power prices going forward? Second question just on more generally obviously it depends a bit on the specific unit and kind of lumpiness of spend around maintenance CapEx or for the life expansion CapEx for the nuclear fleet. I was wondering if you could talk more broadly as to what kind of power price you think you need to support KPM that's kind of border fleet of nuclear power stations? Is it €20 or something like that because it certainly because we're getting closer to that kind of level now in terms of whether the power price has got to. And thirdly, I was wondering whether you could give a bit of an update in terms of what you're seeing on renewables being added to the Nordic market? Is there much capacity being added this year or was it slowed down a bit? Thank you.
Timo Karttinen: Yes. Thank you. First about the specific question about the one and two, so of course for instance we wouldn’t know and couldn’t know any of our competitor's price views and that would be forbidden. And then of course also what is the CapEx plans and other. So that way how they see outside the company and sales. As we have looked we have been owner there for a long time. So of course we know we’ve got some and we have deemed that would be the best way, way forward. All in all, I said these are all detailed questions that we need to discuss and we need to look at there now inside the company together be there and ultimately then come to a decision there. Also a bit more broadly so of course right now power prices, I think that they are pressed also by the hydro situation, but they are pressed also that that we have actually two wins in a row here in the Nordic area. Definitely also there is a longer term impact from the commodities, lower coal prices and CO2 prices and there is a longer term question of how do they develop? But I cannot comment more specifically about the needed power price levels. Of course they vary unit by unit what is of course true regarding Sweden is that there we have this nuclear tax that was mentioned and also increasing tax. So that is a burden as has been commented by all market participants. So that is a burden and we see also that in a sense that is an unjustified burden for a good production from that is producing CO2 fleet capacity. Now regarding the renewables, so there is roughly four terawatt hours I think increase of the wind production this year compared to last year. And my understanding is that this second quarter here was not only there is any, but it was also quite windy. So the factor of the production was unusual also in that sense and especially that was in Sweden.
James Brand: Okay. Thank you very much.
Operator: Thank you. And we can now take our next question from Anne Azzola from Morgan Stanley. Please go ahead.
Anne Azzola: Good afternoon. Thank you for taking my question. Number one would be on your hedging position; basically you mentioned oblique outlook of power price for our Q3 2015 but you’ve kept a very large open position for the rest of the year, the highest level actually over the last nine years. Could you comment -- does that reflect a view from your side that you’re believing, rebound towards the end of the year or do you consider it as a free option at given currency a low level of power price that would be question number one. Question number two, follow-up on the question on the interest rates on the cash you received, so you’re earning very low interest on this cash, are you planning to use some of it in the short term to refinance part of your debt also do some run buyback would be question number two. And question number three on Russia, in the press release you mention that you have a bad debt provision, could you please tell us how significant this is and explain us a little bit to what this is related? And finally for Russia for 1H you’re reporting G&As that are quite low at €59 million, 27% lower than last year, is there something driving this lower G&A other than the Forex exchange rate? Thank you.
Timo Karttinen: Yes, thank you. First about the hedge position, so I’ve said also technically now our -- as our production forecast has increased because this lot of hydro somewhat of this drop back as we reported 50% hedge ratio a quarter ago, so some of this drop is actually coming from increased production plans or forecast in the future. We also -- as we are half and half open that means that we have flexibility. Now as the rain has been very abnormal and the weather has been very abnormal, so we're not being able to utilize the flexibility and of course power prices have been so low that naturally with the benefit it would have been better to have more hedged, but of course we always have to look at our own forecast as we go forward and we have also deemed that at this position right now where we are so this is the right way to go forward. We naturally -- all the time we look at the market and do some hedging activities when we see that appropriate. So of course the hedge levels may and do also change as we go forward. Then to the second question, interest rates, low interest income, which of course effect the short term as the long term rates are really low at the current moment. Of course when we look at our own date portfolio mainly in the bonds, so I’ve hypo technically if we were to do some buybacks of course we would need to do, we would need to estimate how much we would be getting and then of course we would also need to be bank the interest rate differentials and perhaps also some premium to get the bonds brought back. So that all is of course that we would need to factor in if we would be looking at something like that, but at the movement we are not doing that of course then if we would be doing that in the future then we would be -- then that would be a separate decision. Then about the bank debts, in Russia, I said in the heat deliveries, they are really minor compared to the whole operations, but we have just for the clarity we have mentioned those. Then what was the fourth question that I…
Anne Azzola: It was a question on the level of G&A that you’re reporting for the Russian division in 1H '15 this is significantly lower than last year? Is there anything else than the Forex here?
Timo Karttinen: I have to say that I don’t at least on top of my mind anything else there than just the exchange rate differential.
Anne Azzola: Okay. Thank you.
Timo Karttinen: Thanks.
Operator: Thank you. We can now take our next question from Lueder Schumacher from Société Générale. Please go ahead.
Lueder Schumacher: Good afternoon. Yes also three questions, the first one is just on the Swedish nuclear decisions on Oskarshamn, it seems to be pretty binary decision either you keep it running or you close it, but it could be the best of third option as well, are you there -- you feel so keen to keep operating it and you isn’t, is the third option that you could buy Ion out that is the first question? The second one is on the restructuring of TGC-1, what exactly has caused the delay and what is the timeline going forward? Is this now indefinitely on hold or are there certain key points where a decision will be made and the last question is on the CSA provision for the Chelyabinsk unit, can you just remind us how much is left there and also how big the release could be if you finish it in Q3 or Q4?
Timo Karttinen: Yes thanks about the Oskarshamn, so as we have said, we have now focused on keeping them up and running. I think it’s too early and pretty mature to think about any other options. Ultimately I said of course those will then be how to run and how to handle the units will be discussed and decided there indeed Oskarshamn company. Then about the TGP-1 restructuring, so as we had said, we have not reached an agreement. So in the end of course, it’s a question it’s quite would be quite a complex affair, the restructuring and evidently of course also all the three companies would need to be in accord with the main terms and conditions. So it’s really about finding a solution that will block these and would be at any take and accept and see as a good solution. That's the question I think normally is in these kind of negotiations. So it’s not on hold but then on the other hand currently as I’ve said earlier today. So it is difficult to estimate really the timeline or the result at this point of time. So it is open question, but of course we do continue the work. Then about the CSAs and the provisions and releases and Chelyabinsk I think they are €16 million and €16 million. So together €32 million that's also mentioned in the notes in our interim report, but that is the amount that is there currently.
Lueder Schumacher: Basically, as long as you finished the unit in H2, this will be released front?
Timo Karttinen: Yes that is the size of the release that we have estimated, yes.
Lueder Schumacher: Okay. Thank you.
Operator: Thank you. We can now take our next question from Srinjoy Banerjee from Barclays. Please go ahead.
Srinjoy Banerjee: Hi, thank you for taking my questions. I’ve got a couple, so I guess the key to you you've downgraded to high BBB at Moody’s and S&P, were you comfortable with that BBB kind of rating which you like A category. And then secondly, you got more than €8 billion of cash on balance sheet, can you remind us what kind of technologies, geographies you would look at opportunities in? And finally obviously you said that you have €1.5 billion of bonds maturing in 2015 and '16, would you look to refinance these bonds in the markets or would you use cash on balance sheet to pay them down? Thanks.
Timo Karttinen: Yes thanks, in the current situation barring anything else happening of course, so it's easy to answer the third one. So we have cash, so we have no need to refinance debt to bonds that are maturing and that's also what we have done earlier during this year and last year. Regarding the rating, as we have said earlier, so we have not had and we don’t currently have a rating target as such, but of course we target to be in good shape and we target to be a good credit name, so that we have access to credit markets when we need it and we have access to credit market under good and favorable conditions. So that is really our target and that is I think that is how we have lived until now and we will also continue to live from here. Then regarding the future investments as we have said earlier, so we really develop and target to develop the company according to our strategy and we want to invest in the core technologies that we know. Hydropower which is really good renewable field to free flexible production capacity, nuclear power where we also have a lot of knowledge and heating business combined heat and power production where we use quite a lot of bio fuels, waste fuels, so also they use material as fuels, which is at least partly renewable. So those are examples of the areas where we want to -- or those are the focus areas where we want to invest. We have also our custom business and we are looking at opportunities there and as we have said longer term building for the future. So we have all -- we're interested in things like solar power, so solar would also be if and when we find investment opportunities. So investing also in solar. Renewables really is of course the way to growth in the future. Our focus areas also in terms of geography, are those areas that we know and where we are operating. So Nordic area, Baltic area also the integrating EU power market and as we have said in Russia, our focus now is to finalize the investment program and then also focusing on this DGC one restructuring opportunity. So those are really the guidelines that we have discussed also about previously.
Srinjoy Banerjee: Okay. Thank you very much.
Operator: Thank you. [Operator Instructions] We can now take our next question from Jose Lopez from GIG Partners. Please go ahead.
Jose Lopez: Hello. Thank you for taking my question. But actually my question was kind of related to the one before, especially on the past quarter of survey, I know you have a considerable amount of cash on your balance sheet and I was wondering if you could provide us with some thoughts on how you might deploy it to create value for shareholders? Like just my observation, I would personally favor an organic growth approach given the tens of billions of euros of your M&A over the last decade that have led to write downs in goodwill. And again another observation, the only people who I can see who reliably make money from M&A are the investment banks. So just a little bit of a warning there considering all the cash you’ve got on the balance sheet. And just wanted to ask you what your views were if you were going to be favoring some large acquisition or you were going to be trying to look more force, more scale opportunities. Thank you.
Timo Karttinen: Yeah. I think that we are really looking in broad terms and all times I’ve said earlier focusing on those core technologies and focusing on those areas as we've mentioned. We are continuing organic growth as I mentioned the power plant that we have decided this year to build in Poland. We also participate both in Sweden in Värme and also here in Finland in [TurkWay] [ph] area in our joint ventures in investments for bio fuel new CHP plant. So we do look at the organic growth options we also do look at the [date and of course also in date] [ph] we do look at various types and various sizes. So it is in growth terms quite many types of options that we are looking at and evaluating and of course trying to find the best ones. Obviously they always take type to mature so this is a process that takes time and work.
Operator: Thank you. At the moment, we have no further questions in the queue. [Operator Instructions] As we've no further questions in the queue, sir, I’d like to turn the call back to your for any additional comments.
Timo Karttinen: Okay. Thank you, everybody for listening and thank you for the interest and good questions. And see you, if not sooner but in the next conference call. Have a nice summer everybody. Thank you.
Operator: Thank you for your participation, ladies and gentlemen. You may now disconnect.